Operator: Welcome to the MKS Instruments First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to your first speaker today, David Ryzhik, Vice President of Investor Relations. Please go ahead. 
David Ryzhik: Good morning, everyone. I am David Ryzhik, Vice President of Investor Relations, and I'm joined this morning by John Lee, President and Chief Executive Officer; and Michelle McCarthy, our Vice President and Chief Accounting Officer. Yesterday after market close, we released our financial results for the first quarter of 2024, which are posted to our investor website at investor.mks.com.
 As a reminder, various remarks about future expectations, plans and prospects for MKS comprise forward-looking statements. Actual results may differ materially as a result of various important factors, including those discussed in yesterday's press release and in our annual report on Form 10-K for the year ended December 31, 2023. These statements represent the company's expectations only as of today and should not be relied upon as representing the company's estimates or views as of any date subsequent today, and the company disclaims any obligation to update these statements.
 During the call, we will be discussing various non-GAAP financial measures. Unless otherwise noted, all income statement-related financial measures will be non-GAAP other than revenue and gross margin. Please refer to our press release and the presentation materials posted to the Investor Relations section of our website for information regarding our non-GAAP financial results and a reconciliation of our GAAP and non-GAAP financial measures.
 For a detailed breakout of revenues by end market and division, please visit our investor website.
 Now I'll turn the call over to John. 
John Lee: Thanks, David. Good morning, everyone, and thanks for joining us today. MKS delivered strong results in the first quarter despite a muted market backdrop. First quarter revenue of $868 million exceeded the midpoint of our guidance. Adjusted EBITDA of $217 million and net earnings per diluted share of $1.18 both exceeded the high end of our guidance. We're particularly pleased with our strong gross margins, which reflect the value of our proprietary offerings, disciplined cost control and operational execution.
 We continue to expect a recovery in our semiconductor and electronics and packaging markets to unfold slowly in the second half of 2024 and are poised to capitalize on our leading positions when we enter the next upturn. In our semiconductor market, we are foundational to key suppliers of leading-edge process equipment in an era where AI is beginning to have a transformative impact on compute and memory architectures. We believe that AI is a powerful secular trend that will drive growth in our industry for years to come. But it's only the latest example in the long history of powerful secular trends in this market.
 Personal computers, mobile devices and data centers are earlier examples of transformative use cases in their time, all a result of the miniaturization and packaging of semiconductors. Our Vacuum Solutions enable critical deposition and etch processes that are necessary in the manufacturing of high-bandwidth memory as well as a broader array of DRAM, NAND and logic semiconductors. In Photonics, our optical solutions help our customers solve complex challenges in lithography, metrology and inspection.
 In addition, our motion control solutions are used to enable precise positioning of the wafer and hybrid bonding applications. In our electronics and packaging market, our unique combination of laser and chemistry expertise positions us for attractive growth in packaged substrates, which are a key building block of advanced packaging architectures. This complements our opportunity in high-density interconnect PCBs. which were required for smartphone and AR/VR applications and where we also see a growing opportunity in the low earth orbit application.
 In our specialty industrial market, we addressed a broad array of specialized applications where we are leveraging our proprietary technology to deliver strong margins and attractive cash flows. Across all these markets, we harness a broad base of capabilities and key enabling technologies such as vacuum, photonics and Materials Solutions. With a leadership position in a broad array of product categories, this affords us a holistic view of the ever-increasing device scaling requirements faced by our customers enabling us to develop integrated novel solutions to address these challenges.
 As an example, our team in Korea was recently recognized by Samsung Electro-Mechanics for their support in the development and trial production of new products. We were also recently recognized by ST Microelectronics receiving the best Performance Material Supplier Award and the Innovation Value Engineering Award for our work in developing a new adhesive promoter technology that enhances automotive IC package reliability. We are proud of the deep customer relationships that we've built over the last several decades and are excited about the opportunities that lie ahead for MKS.
 I'll turn now to our end markets. Revenue from our semiconductor market exceeded our expectations in the first quarter. As we saw slightly stronger demand and improved conversion of customer backlog, overall, demand for our Vacuum Solutions for deposition and etch applications remains muted primarily due to historically low levels of NAND equipment spending. We believe broader customer inventories across our vacuum portfolio are generally in a more balanced state today compared to a few quarters ago, but we may see some additional pockets of work downs in areas tied to NAND.
 With our Photonics Solutions division, revenue from our optical solutions for lithography, metrology and inspection applications remained robust in the first quarter. We continue to see momentum in our world-class optics initiative. This is a unique offering where MKS brings optics, coatings, motion stages, optical subsystems and lasers to solve complex challenges in transistor scaling. As we look to the second quarter of 2024, we expect revenue in our semiconductor market to be slightly down sequentially from a better-than-expected first quarter results.
 Early memory market indicators, including improved pricing and increasing demand as well as continued spending tied to AI applications are encouraging. But as the industry first brings idle capacity back online, we expect the recovery in capital equipment spending to return gradually in the second half of the year.
 Turning to our electronics and packaging market. Revenue was in line with expectations, despite the unfavorable impact of foreign currency and lower palladium prices. Sales of our chemistry solutions for PCB and package substrate markets were stable in this muted market for PCs, smartphones and non-AI servers. Our results also reflected expected seasonal softness due to the Luna New Year holiday. However, we did see a slight pickup in demand for our plating equipment lines for complex, high-density multilayer PCB production, which we believe was primarily driven by growing AI server demand.
 As many of you know, AI GPUs require a large amount of advanced semiconductor content which in turn requires complex packaging schemes. Semiconductors are mounted onto a package substrate that is then mounted on to a high-density PCB and afterwards, is mounted on to an advanced multilayer PCB. This growing substrate and PCB content and AI architectures puts MKS in a unique position to benefit with our proprietary laser drilling, chemistry and plating equipment solutions. We also saw additional demand for laser drilling systems for the fast-growing, low-earth orbit application within the PCB market, where we are the process tool of record.
 As we look to the second quarter of 2024, we expect revenue from our electronics and packaging market to be up on a sequential basis due to an increase in planting equipment revenues and a seasonal increase in chemistry revenues following typically lower first quarter utilization.
 Turning to our specialty industrial market, revenue was slightly better than expected, driven by the modest sequential improvement in our Life and Health Sciences and research and defense markets. Revenue from our general metal finishing business in the automotive market remained flat overall on a sequential basis. As we look to the second quarter, we expect demand trends in our specialty industrial market to remain stable with revenue relatively in line with first quarter levels.
 Wrapping up, MKS delivered a strong profitability in the first quarter despite a continued soft end market demand environment. While we expect overall industry demand to remain muted near term, we feel very good about the positioning of our portfolio and the investments we've made to capitalize on the key secular trends driving our end markets.
 Turning now to the finance discussion. I'd like to introduce you to Michelle McCarthy, our Vice President and Chief Accounting Officer, who will walk through our financial results in more detail. Michelle recently joined MKS and brings a strong public company accounting background to complement our deep finance team. This team is doing an outstanding job as we conduct our search for MKS' next Chief Financial Officer and we will continue to post it on our progress.
 Michelle, why don't you take it from here? 
Michelle McCarthy: Thanks, John. It's a privilege to be part of the MKS team. In the first quarter, we delivered revenue of $868 million, above the midpoint of our guidance, primarily due to better-than-expected revenue from our semiconductor market. First quarter semiconductor revenue was $351 million, above the high end of our guidance and declining 3% sequentially. The year-over-year comparison is not meaningful as it was distorted by the ransomware incident last February.
 Revenue performance in the quarter was led by better-than-expected conversion of backlog in the Vacuum Solutions segment as well as continued robust sales of our Photonics Solutions. First quarter electronics and packaging revenue was $208 million, relatively in line with the midpoint of our guidance and a decrease of 8% sequentially. Excluding the impact of foreign exchange and palladium pass-through, sales of our chemistry solutions in this market grew 15% on a year-over-year basis, as our business bounced back from industry softness a year ago. Moving to our specialty industrial market. Revenue in the first quarter was $309 million, above the midpoint of our guidance and up 1% sequentially.
 Similar to our semiconductor business, the year-over-year comparison is distorted by the ransomware incident. Consumables and services revenue across our 3 end market categories comprised 42% of our total revenue. Turning to our margins. We reported first quarter gross margin of 47.8%, exceeding the high end of our guidance range. The strong results were a function of better-than-expected volumes, favorable product mix and continued cost control. We also benefited by approximately 60 basis points from certain nonrecurring items. First quarter operating expenses were $240 million in line with expectations.
 Throughout the current cycle, MKS is focused on prudently managing our cost structure while ensuring we invest to innovate for our customers and capitalize on the attractive opportunities we see ahead of us. Our first quarter operating margin was 20.2% and exceeded the high end of our guidance range, reflecting strong gross margin performance, coupled with the natural operating leverage in the business. It is noteworthy that our acquisition of Atotech has been a meaningful contributor to our strong performance in both gross and operating margins.
 Further to that point, exiting the first quarter, we exceeded our Atotech cost synergy target of $55 million, and we accomplished this at the earlier end of our expected time frame of 18 to 36 months, continuing our track record of executing well on M&A synergies. First quarter adjusted EBITDA was $217 million, representing a 25% margin and exceeding the high end of our guidance range. Net interest expense for the first quarter was approximately $75 million, slightly favorable compared to our expectations.
 As a reminder, in the first quarter, we refinanced our term loan and completed a $50 million voluntary debt prepayment. Our refinancing included the paydown of our term loan A with incremental borrowings against our term loan B and the elimination of the financial maintenance covenants that applied while our term loan A was outstanding. We expect second quarter net interest expense will be approximately $79 million. Also in early April, we made another $50 million voluntary debt prepayment. Our tax rate for the first quarter was approximately 23%, slightly favorable as compared to our expectations entering the quarter. We expect our tax rate for the second quarter to be about 23% and our full year tax rate to be approximately 20%.
 First quarter net earnings were $79 million or $1.18 per diluted share, exceeding the high end of our guidance. We exited the first quarter with more than $1.5 billion of liquidity, including cash and short-term investments of $846 million and an undrawn revolving credit facility of $675 million. Gross debt was $4.9 billion at the end of the quarter. Our net leverage ratio exiting the first quarter was 4.3x based on trailing 12 months adjusted EBITDA of $940 million.
 Free cash flow was approximately $49 million and unlevered free cash flow was $108 million. As a reminder, our first quarter free cash flow is typically lower due to timing of variable compensation payments. Consistent with prior quarters, we made a dividend payment of $15 million or $0.22 per share.
 With that, let me turn the call back to John. John? 
John Lee: Thank you, Michelle. Let me now turn to our second quarter outlook. We expect revenue of $860 million, plus or minus $40 million, reflecting the slow path to market recovery that we have discussed on recent calls. By end market, our outlook is as follows: revenue from our semiconductor market is expected to be $335 million, plus or minus $15 million, reflecting our view that the market continues to bounce along the bottom with a modest recovery expected in the second half of the year.
 Revenue from our electronics and packaging market is expected to be $220 million, plus or minus $10 million and revenue from our Specialty Industrial market is expected to be $305 million, plus or minus $15 million. Looking ahead to the second half of 2024, we expect revenue to be slightly higher than the first half reflecting a modest improvement in our semiconductor market, combined with typical seasonality in our electronics and packaging market. Our Specialty Industrial market is expected to remain relatively consistent, mirroring global GDP trends. Based on anticipated product mix and revenue levels, we estimate second quarter gross margin of 46.5%, plus or minus 1 percentage point.
 The step down in gross margin as compared to the first quarter reflects anticipated product mix as well as certain items that we do not expect to recur in the second quarter. We expect second quarter operating expenses of $240 million, plus or minus $5 million. We continue to believe $240 million to $250 million is an appropriate run rate for the balance of 2024. We estimate adjusted EBITDA of $197 million, plus or minus $23 million. Given these assumptions, we expect second quarter net earnings per diluted share of $0.93, plus or minus $0.26.
 We continue to execute very well in navigating the cyclical softness in our end markets. I'm very pleased with the strong profitability and margin profile of our business. This, along with our differentiated product and technology portfolio tied to key secular trends in our end markets positions us well for the next cyclical upturn. 
 With that, operator, please open the call for Q&A. 
Operator: [Operator Instructions] Our first question comes from Steve Barger from KeyBanc Capital Markets. 
Steve Barger: John, I know you expect recovery to unfold slowly in the back half, but we're hearing more commentary about 2025 being a strong year for memory and initial positioning for the 2-nanometer transition next year to start. I know you don't want to get too far ahead, but inflections can happen quickly when they come. So can you talk about customer conversations for memory and leading edge and just how you're thinking about timing and capacity to support that inflection? 
John Lee: Yes, Steve, great question. Certainly, we're very intimate with our customers and have these discussions all the time. Obviously, we need to prepare our factories to support them. I would say that we still expect a slowly unfolding second half. But to your point, there are good signs with memory pricing and utilization picking up. Logic remains strong, as you pointed out, 2-nanometer and 3-nanometer capacity is getting used up too.
 So I think that the discussions are all about -- we're on the bottom, bouncing along the bottom. And it's really about timing, Steve. And you are right, things can change very quickly. But as you know, MKS is pretty good at that. We've been at this for 60 years. We have the capacity to support, obviously, much higher run rate that we had already in the past few years. So we're just waiting and ready for that whenever that happens. 
Steve Barger: Got it. And similar question on substrate. You talked about AI and some other opportunities like low earth orbit. Can you talk through the road map for more layers or tighter tolerances on those substrates and how increasing complexity will benefit you given your position in drilling, plating equipment and chemistry. 
John Lee: Yes. So, we're really excited about things like AI driving not only the semiconductors, but the electronics and packaging. AI boards are going up to 20 layers now. And of course, the lines and spaces in the VS are also smaller. So that's all good for us. It's more chemistry, it's more difficult chemistry. It's more laser drilling, it's more difficult laser drilling. It's more difficult bonding layers between the various layers in that PCB. And so when you have the ability to toggle, laser equipment, chemistry equipment and chemistry, you just have a better solution set for the customers and solving these really tough challenges.
 So we believe that MKS is uniquely positioned in the industry to solve these really advanced packaging problems. 
Steve Barger: And just one quick follow-up. So as you've had the conversations with customers, are they telling you to prepare for a higher capital spending environment for that -- the drilling and plating equipment in chemistry? 
John Lee: Well, it varies. But I think as we pointed out in the earnings script, we have seen this uptick in equipment orders tied to, we believe, AI. This is for actually the high-density multilayer board. So as we talked about in the earnings calls, there's 3 different types of packages: The advanced stuff that connects the chips and goes on to a high-density board then goes on to this very complex multilayer board. And so this is the first sign where we've seen actually CapEx increases for some part of the food chain associated with AI. 
Operator: Our next question comes from Jim Ricchiuti from Needham & Company. 
James Ricchiuti: One of your competitors in the specialty chemistry market recently, I think, last month. talked about improving demand in the electronics market and a couple of the geographic regions. I'm wondering, is that consistent John, with what you're seeing -- in general, how would you characterize also the pricing environment within the Atotech business? And to the extent that might be helping your margins? 
John Lee: Yes, I think we would agree with that, Jim. I think it's slowly improving. You saw in our commentary that year-over-year, our Q1 is significantly better in our electronics chemistry than it was last year to the tune of 15%. It's been gradual and improving. So that's a good sign. In terms of pricing, we talked about gross margin for the business. we talked about Atotech gross margins really significantly adding to the gross margin profile of MKS. I also want to point out that we saw the gross margin improvement in all 3 divisions, so not just Atotech but Atotech certainly comes with, I would argue, industry-leading gross margins and that's obviously indicative of the value they're bringing to those customers.
 So pricing has been strong. We're getting paid for the value that we bring. And then we see a slight improvement, and we hope that continues. 
James Ricchiuti: Got it. On the drilling side, apart from that application that you alluded to, the lower orbit application, are you seeing any lift in the March quarter bookings that more consistent with the seasonality that we've seen occasionally in those parts of the business? Or is that still something that we're still kind of bouncing along the bottom in this part of the business. 
John Lee: Yes. I think we can see a slight improvement, Jim, but I don't look at it as any kind of trend right now. I think it's still muted, still bouncing along the bottom. But flex laser drilling versus HDI laser drilling, of course, is different. So the flex is certainly still very muted. HDI is slightly better. I would just characterize it as still bouncing along the bottom, Jim. 
Operator: Our next question comes from Krish Sankar from TD Cowen. 
Sreekrishnan Sankarnarayanan: I have a few of them. John, I'm just rig to reconcile your statement that second half should be slightly better than first half in terms of revenues. That would imply that calendar '24 revenues for you could be down on a year-over-year basis. or slightly down. Just kind of curious is that true? If so, do you expect both semi and electronic packaging to be down or one down more than the other? 
John Lee: Well, yes, I think there's a lot of still uncertainty with respect to revenue, but we do expect to be slightly better in the second half versus the first half. And it depends on what your assumptions are for Q3 and Q4, obviously, whether the whole year is up or down. But as was pointed out earlier, these things -- they can change quickly. We're planning on a slight uptick in second half, but we're also planning on being ready in case it accelerates. So I would say that's still TBD in terms of year-over-year comparison for the full year. 
Sreekrishnan Sankarnarayanan: Got it. Got it. And then can you just give an estimate of what you think our advanced packaging learnings would be this year and what it was last year? 
John Lee: Yes. I think it's -- we've talked about advanced packaging being 1/3 of our business. And when servers and PCs and phones were kind of more normalized. This year is probably more in that 25% -- 25%, sorry. But that can vary. And of course, that's -- you can read about the public companies who are our customers in advanced packaging. And you can see that obviously, the revenues are down significantly. So that's consistent with that. 
Sreekrishnan Sankarnarayanan: Got it. Got it. If I could just squeeze one more, John. Just curious how do you think about Atotech benefiting or the impact of Atotech when some of your customers start moving to glass panels or advanced packaging down the road? 
John Lee: Yes. No, glass is certainly something that the industry has talked about for a long time, obviously, and more people are talking about it now. I would just say this, Atotech is an industry leader in packaging, advanced packaging and the next generation. I would characterize it as we're certainly always in those discussions, always certainly looking at what our customers' needs are, and developing the necessary processes to enable what they need and glass is 1 of the things that we are working on along with the rest of the industry. 
 By the way, Chris, I wanted to just clarify my statement about 25% advanced package, that's 25% of electronics and packaging, not 25% of MKS. Sorry. 
Operator: Our next question comes from Joe Quatrochi from Wells Fargo. 
Joseph Quatrochi: I wanted to -- on the NAND side, as you think about just the recovery in the memory industry, and you think about just what's going to be driving demand on the NAND side? It sounds like the recovery in spending is going to be more related to system upgrades or node transitions. So curious of how do you think about the revenue opportunity for MKS when maybe it sounds like the WAP is going to be a little bit more tied to migration versus net new greenfield ad? 
John Lee: Yes. Thanks, Joe. The -- when the customers are upgrading the chambers for the next node, certain critical subsystems on there have to be upgraded, otherwise, you can't do the next node. And 1 of those is the RF power decks. So as you may or may not know, there's 3 power decks on every chamber for VNAND etcher. And all 3 have to get upgraded if you're moving from one node to the other. And that is obviously the biggest part of our spend.
 So we don't really notice the difference but when they're doing chamber upgrade versus the entire tool, obviously, when they're doing the entire tools, we may see other parts of MKS products go in there. But the chamber upgrade really benefits us equally, I guess, from the RF-power standpoint. Now having said that, we did talk about inventory burn down and there's still a little bit left in the NAND market. So -- but this is a good sign when some of the customers are talking about node upgrades because that will start burning off that inventory and then at some point, they'll need the new stuff from us as well. 
Joseph Quatrochi: That's helpful. And as a follow-up to that, do you expect that as we kind of look into the second half of this year that NAND inventory burn down is still to play out to some extent? Or is it just, I guess, maybe starting to play out more this quarter? 
John Lee: Yes. I think it depends, right? It depends on how many people are changing nodes, upgrading the nodes. But I think our view now is that it's still slowly unfolding. So that's why we're saying that, slowly unfolding. So I think there's still more to go. And so I think in the second half, there's still some of that NAND inventory burn down that has to happen, it's only for us. But as we talked about earlier, it can change fast, right? And that could accelerate, but -- and we're ready for that, whether that happens or not. 
Joseph Quatrochi: Got it. And just as a follow-up question. On the services gross margin strength that you had in the quarter, was that where the onetime item was? Or just can you help us understand what drove that? 
Michelle McCarthy: Yes, I can take that question. This is Michelle. So yes, we have favorability in the quarter, as we referenced in the prepared remarks, about 60 basis points. That's nonrecurring. It's really related to favorable material variances as well as favorability in freight and duty cost recoveries. That's really the bulk of it. 
John Lee: Yes. So not necessarily tied to service, Joe. But you did point out our service gross margins were probably a record, I guess, I would call it that. But all the divisions had improved gross margin as well. But service, we're really happy with the performance of that group with the last quarter. 
Joseph Quatrochi: Is there anything to point out what drove that? 
John Lee: There was a good product mix. And certainly, some pricing has rolled through and some cost pressures that have been in the past are no longer there. So kind of a mix of whole bunch of things, Joe. 
Operator: [Operator Instructions] Our next question comes from Steve Barger from KeyBanc Capital Markets. 
Steve Barger: Yes. Just a quick follow-up. As you've modeled out free cash flow and how EBITDA progresses, do you think net leverage can get to 4 or below by year-end? Or is that too aggressive? 
John Lee: Yes, Steve, obviously, we were very aggressive in deleveraging. As you saw Q1, we added -- we voluntarily paid another $50 million, and we talked about -- in April, we added -- we voluntarily paid down yet another $50 million. I think our ability to delever and prepay is really going to be a function of profitability, Steve. So not news to you, I'm sure. So I think it depends on how the year unfolds. And our model still is 50% gross margin flow through, 40% operating margin flow-through. But as you know, we have a lot of leverage in the model. And so when revenue does pick up, you'll see a lot of cash flow and then we'll be able to delever quicker. 
Operator: I am showing no further questions. I would now like to turn the call over to David for closing remarks. 
David Ryzhik: Thank you all for joining us today and for your interest in MKS. Operator, you may close the call, please. 
Operator: Thank you. This does conclude the program. You may now disconnect.